Operator: Good morning, ladies and gentlemen, and welcome to Platform Specialty Products Corporation First Quarter 2015 Results Conference Call. [Operator Instructions] As a reminder, this conference may be recorded. 
 I will now turn the call over to Ben Gliklich, Platform's Vice President of Corporate Development, Finance and Investor Relations. Please go ahead. 
Benjamin Gliklich: Good morning. Please note that in accordance with Regulation FD, or Fair Disclosure, we are webcasting this conference call. Any redistribution, retransmission or rebroadcast of this call in any form without the express written consent of Platform is strictly prohibited. 
 Before we begin, please take note of Platform's cautionary statement regarding forward-looking statements at the end of the earnings release issued earlier today. Some of the statements made today during this conference call will be considered forward-looking. All forward-looking statements are based on currently available information. Platform's actual results could differ materially from those predicted. However, Platform undertakes no obligation to update any such statements, whether as a result of new information, future events or otherwise. 
 Please refer to Platform's SEC filings for a more detailed description of the risk factors that may affect Platform's results. Please note that Platform has posted supplemental financial data slides to its website at www.platformspecialtyproducts.com. 
 In accordance with Regulation G, Platform is providing reconciliations of certain non-GAAP to comparable GAAP financial measures in its earnings release, its current report on Form 8-K relating to the earnings release and in the supplemental slides. The supplemental slides can be downloaded in the Investor Relations section on Platform's website under Events and Presentations. 
 For the purposes of this call, we will be comparing the periods of 2014 and 2015 on a pro forma as-adjusted basis as we believe that this will give our investors a proper comparison and understanding of the underlying business results for Platform's operations. Pro forma as-adjusted figures reflect our financials had we owned each of the businesses in our portfolio since January 1, 2014. 
 Like any global corporation, Platform is subject to currency fluctuations, so we will also be presenting our results on both an actual dollar and constant currency basis for both years. I encourage you to review our supplemental slides that have been posted on our website for further clarification. Following management's remarks, there will be time allotted for Q&A. 
 Now I would like to turn the call over to our CEO, Dan Leever. Dan, please go ahead. 
Daniel Leever: Thanks, Ben, and good morning, everyone. As you all know, 2014 was a record year for Platform, and we started off 2015 with great momentum. 
 In early February, we closed the Arysta acquisition and quickly hit the ground running. We announced the new Agricultural Solutions management team at the time of closing. And post-close, Wayne joined Martin and me in the Office of the Chairman, and he immediately began work on integration and synergy opportunities. As you will recall, in March, within 1 month of closing, we had increased our synergy target from $65 million to $80 million. Wayne will share more of the progress against synergies today.
 We recently conducted our Agricultural Solutions business reviews, and we are very excited by how far we have come in such a short period of time together and how our integration teams are methodically executing against our strategy. 
 In the first quarter of 2015, on an actual dollar basis, we grew revenue by $351.1 million over last year from $183.7 million to $534.8 million, and adjusted EBITDA from $45.9 million to $130.5 million. That includes $5 million of realized cost synergies. 
 Foreign exchange movements continue to have a negative impact on reported results. On a pro forma as-adjusted basis, revenue declined 6.7% due to the strong currency headwinds. Adjusting for FX, constant-currency organic pro forma revenue increased 9.6%, and constant-currency pro forma EBITDA increased by 22%.
 Adjusted pro forma EPS for the first quarter of 2015 was $0.21 compared to Q1 '14 of $0.18. 
 Recurring free cash flow for the quarter 2015 was a negative $2 million or $0.01 a share. This was driven by the seasonal effect of working capital build, which was an outflow of $61.2 million in the quarter. 
 Unlike many in the Ag business, we enjoyed robust constant-currency revenue growth of 11.2%, illustrating the success of our s-squared strategy concentrating on specialty crops in specialty places. Ag constant-currency EBITDA grew 28.1% in the quarter, which includes synergies. Without synergies, Ag constant-currency adjusted EBITDA growth was still a very strong 20.7%.
 Constant-currency EBITDA growth in the Performance Applications segment was also double digit at 12.3%. The Performance Applications segment, which currently consists of the MacDermid business, had record adjusted EBITDA quarter, and its associated margin was the best-ever margin quarter, which reflects the outstanding work that, that team has done, especially in new product penetration.
 These are very exciting times, and our entire management team remains focused on continuing to deliver strong results for our shareholders. 
 With that, I'll turn the call over to Frank to walk you through the financial results in more detail. Frank? 
Frank Monteiro: Thank you, Dan, and good morning, everyone. Before diving into results, I'd like to point out a few important items. 
 First, in this quarter, we completed certain changes to our organizational structure that resulted in the reclassification of our 3 reportable business segments, Performance Materials, Graphic Solutions and Agricultural Solutions into 2 reportable business segments that we're now calling Performance Applications and Agricultural Solutions. 
 We have reorganized and rebranded our operations by consolidating our Performance Materials and Graphic Solutions segments into the Performance Applications segment. This segment now contains the full legacy MacDermid business and better represents how we intended to view the businesses going forward.
 Second, as Ben noted, in addition to our actual results, we will be presenting numbers on a pro forma as-adjusted basis, meaning comparisons in analytics for the current and prior years will reflect the combined businesses as if we owned all acquired business units for the full year. We believe that our reported results only partially reflect the ongoing operations of Platform as they include deal-related costs, purchase accounting adjustments and other noncash items associated with our acquisition strategy. 
 We further believe that our investors will find our pro forma as-adjusted results provide a clearer picture of our underlying businesses and their growth rates. We refer you to our supplemental slides posted on our website to assist you in understanding these adjustments. 
 We are pleased to report a record quarter for Platform for the quarter ended March 31, 2015. On an actual results basis, Platform's reported revenue was $534.8 million versus $183.7 million in the prior year, an increase of $351.1 million. In segment terms, Performance Applications revenue was $180.3 million versus $183.7 million in 2014, a decline of $3.4 million or 1.9%.
 The Agricultural Solutions segment, which was new to Platform in quarter 4 of '14, finished quarter 1 of '15 with revenue of $354.5 million. On a pro forma as-adjusted basis in actual dollars, Platform had quarter 1 2015 revenue of $622.3 million versus $666.7 million for the same period in '14, a decrease of 6.7% or $44.4 million. 
 The Performance Applications segment declined $3.4 million or 1.9% from $183.7 million in 2014 to $180.3 million in 2015, as previously mentioned, while the Agricultural Solutions segment declined $41.8 million or 8.5% from the $483.8 million in 2014 to $442 million in 2015.
 As Dan discussed, the strengthening of the U.S. dollar continued to represent a headwind to our operations in the first quarter of 2015. On a pro forma as-adjusted basis in constant currency, Platform grew revenues by 9.6% or $54.3 million, growing from $567 million in 2014 to $621.3 million in 2015. The Performance Applications segment increased revenues by 5.9% or $10 million, growing from $170.4 million in 2014 to $180.4 million in 2015.
 The Agricultural Solutions segment increased revenues 11.2% or $44.3 million, from $396.6 million in 2014 to $440.9 million in 2015. Platform pro forma as-adjusted EBITDA in reported U.S. dollars for 2015 was $134.6 million versus $133.9 million in 2014. On a segment reported basis, Performance Applications pro forma as-adjusted EBITDA was $48.5 million, which is up $1.9 million or 4.1% over the prior period, while the Agricultural Solutions segment reported pro forma as-adjusted EBITDA of $86.1 million, down $1.2 million or 1.4% over the same period. 
 Adjusting for currency effects, Platform pro forma as-adjusted EBITDA for 2015 was $135 million versus $110.7 million in 2014, which is up 22% or $24.3 million. On a segment reporting basis in constant dollars, Performance Applications pro forma as-adjusted EBITDA was $48.5 million, which is up $5.3 million or 12.3% over the prior year period, while the Agricultural Solutions segment reported pro forma as-adjusted EBITDA of $86.5 million, which is up $19 million or 28.1% over the prior period. 
 The key drivers of performance in this quarter in our Agricultural Solutions segment were an above-average start to the growing season in Europe and strong sales of our higher margin value-added products. Our Performance Applications segment benefited from strength in our Electronic Solutions business, which related to product launches based on strong overall end market demand and a solid quarter for our Offshore Solutions product offerings. 
 During quarter 4 of 2014, we raised the equity needed to close the Arysta transaction. And in Q1 of 2015, we finalized the debt offerings that were required. This consisted of a new $2.1 billion in new debt, $1.1 billion worth of U.S. dollar bonds, $350 million of euro-denominated bonds, $500 million through an incremental add to our dollar-denominated term loan, $83 million in euros through an incremental add to our euro tranche loan and finally, $150 million of draw on our revolver to infuse cash into the agricultural business. 
 As of March 31, 2015, quarter 1 net debt was $3.3 billion. We remain committed to our leverage multiple at or below 4.5x of EBITDA and are confident that it will turn to that level in the next 12 to 18 months. 
 From a cash flow and free cash flow per share basis, mid-quarter 1 into quarter 2 is the working capital build period for our agricultural business. We had a working capital outflow of $61.1 million in this quarter versus the $4.8 million outflow in 2014. This entire swing in working capital is related to the Agricultural Solutions business that we acquired over the last 6 months, and it's consistent with the guidance that we have been providing. This outflow makes up the bulk of the funds used in operating activities. 
 Moving to cash flows provided by investing activities. You can clearly see the outflow of funds associated with the purchase of Arysta making up the largest portion. From a CapEx standpoint, we had an outflow of $20.8 million in the quarter for general projects that carried over from the prior year and an additional $8.4 million that related to costs associated with the registration and reregistration of product offerings within our Agricultural Solutions segment. 
 Foreign currency reduced our cash position $10.6 million in this quarter. Recurring free cash flow per share was a negative $0.01 in the quarter. The quarter's lack of free cash flow was anticipated, as we've been discussing, and as we integrate the businesses, we will focus intensely on improving our working capital. This is something that we are very confident that we can do.
 A few words to put a finer point on foreign exchange volatility, which we highlighted on our Q4 earnings call and again at our Investor Day. We continued to see large foreign currency moves in the first quarter that impacted us meaningfully. On our last call, we talked about foreign currency representing a 10% headwind based on end of February rates. Rates continued to move against us in the month of March, and based on spot rates at the end of March, foreign currency would have been a 17% headwind to EBITDA. 
 In the intervening month, rates have recovered somewhat and returned close to the end of the February levels. We have implemented pricing actions, hedging, barter transactions and other mechanisms to mitigate the effects of currency, especially on our cash flow. 
 The first quarter is heavily weighted to the month of March, so we earned meaningful revenue at the trough of the recent foreign currency rates. However, due to our combination of strong operating performance in the quarter and the recovery in foreign currency rates since the end of March, we are reaffirming the guidance we gave at our Investor Day. We continue to caveat that this guidance is based on foreign currency as of a point in time, in this case the April 30, 2015 rates. 
 To review our guidance once more, we continue to believe that 2015 full year pro forma as-adjusted EBITDA will be between $660 million and $680 million, and adjusted earnings per share will be $1.20 to $1.25.
 I would now like to turn you over to Wayne Hewett, Platform's President, to discuss our Agricultural Solutions segment and our integration process in more detail. Wayne? 
Wayne Hewett: Thank you, Frank, and good morning, everyone. As Frank just finished saying, the Agricultural Solutions segment revenue decreased $42 million or 9% from $448 million (sic) [$484 million] in 2014 to $442 million, while our adjusted pro forma EBITDA was down $1.3 million or 1.4% from $87 million to $86 million for the first quarter of 2015. 
 It will come as no surprise that our reported results were significantly impacted by the global strength of the U.S. dollar against all currencies that we do business in. These currency movements have impacted both our year-over-year results but also caused a small shift in mix between first and second half EBITDA. 
 The first half of the year is more heavily weighted towards non-U.S. dollar currencies, and this will result in a stronger weighting of our total year EBITDA in the second half of the year. 
 The currency-related point aside, the underlying fundamentals of our business have been very positive through the first quarter. On a constant currency basis, our Agricultural Solutions revenue grew 11%, and EBITDA grew 21% before synergies. 
 These results were driven by a few key factors: first, better uptake of our high-margin value-added products; second, favorable weather conditions in some key geographies, which were partially offset by the relief of channel inventory in a few selected markets.
 We are extremely pleased about the performance of our higher-margin value-added products, which reported flat year-over-year sales despite a 20% headwind related to currency. We were doubly pleased that the strong performance was driven by products from all 3 legacy companies. Just to highlight a few examples, we saw continued strong growth with Clethodim, a legacy Arysta herbicide; Acramite, a legacy Chemtura insecticide; and Dodine, a legacy Agriphar fungicide. All 3 of these products had strong growth in reported terms across all key geographies. 
 From a geographic perspective, we're happy to see that Europe is off to its second consecutive early spring. Brazil is recovering from the late 2014 drought. And North America, despite another difficult wet winter, seems to be on track for a relatively normal season. We are hopeful that these variable conditions will lead to an increased number of applications on crops and continue to relieve channel inventories.
 Profit execution is a key strength of our new combined company, and this skill set has proven very effective in helping us achieve our integration goals. Today, the vast majority of our sales and marketing teams around the world are already integrated and working as one cohesive unit to drive the sales of all 3 legacy Ag product portfolios. We have also made great strides in bringing together our back offices, and we are already seeing the benefit of this consolidation of activities become visible in our P&L. 
 Included in our first quarter results, we achieved $5 million in synergies primarily coming from G&A. Synergies coming from distribution and supply chain will take longer to realize due to regulatory contractual hurdles, but we have begun to ramp up our efforts and expect to start realizing savings in these areas later this year. While just 3 months after the Arysta close, we now have clear line of sight actions to deliver the $80 million 3-year commitment that we communicated during our last Investor Day. 
 While the 2015 -- sorry, while the Q1 results were slightly better than expectations, we have not changed our 2015 forecast of high single-digit growth before the effects of currency and synergies in the Agricultural Solutions business. And again, due to currency effects, we do believe that from a reported perspective, it'll be more weighted toward the second half of the year.
 Overall, we feel the first quarter financial results highlight the strong underlying health of our Agricultural Solutions segment, and we're cautiously optimistic for the rest of the year. 
 With that, I will turn it over to Dan for concluding remarks. 
Daniel Leever: Thank you, Wayne. I just wanted to make clear the Agricultural Solutions revenues went from $484 million to $442 million. I think you transposed one of those numbers earlier. 
 So we are pleased with this quarter's results. On the Ag side of the business, we have demonstrated our ability to continue to generate strong underlying growth despite industry-wide headwinds. Our specialty squared strategy, specialty crops in specialty geographies, is proving out. On top of a strong operational execution, synergy realization is on track, and integration is going smoothly. We have a long way to go, but the results thus far are very encouraging. 
 With all 3 of our Ag acquisitions closed and no transactions announced since October, I'd like to emphasize that we have not deprioritized acquisitions as a source of added accretion. We believe there continue to be accretive value-added transactions that are actionable. That said, I will reiterate the view I shared on our Q4 call. If 2015, we do not -- we do a few smart deals and fall well short of our synergy target, we lose. But if we do no more acquisitions and beat our synergy target, we win. This continues to dictate our priorities. 
 Nonetheless, if the right opportunity arises, we will be quick to take advantage of it. We remain confident in our ability to raise capital and have the management capacity to integrate and realize synergies. In the meantime, integration, strategic planning, tax optimization, cost control and currency management assuring maximum cash flow generation continue to be our priorities. 
 This short break in the M&A action has given us the capacity to further leverage the unique nature of our Board and their expertise. We spent time recently thinking about ways to run an even more efficient organization. Martin introduced us to the Restaurant Brand folks, and we conducted high-level benchmarking. Frankly, we were inspired by their story. 
 We have also spent time studying potential new verticals that fit our model. Our Director Ryan Israel lent us the Pershing Square expertise in this analysis. We have been at this a long time, but we are passionate about taking every opportunity to learn from others how to do better in driving to create a truly outstanding enterprise.
 We are only in the early innings of 2015. And while we're a quarter of the way through the year chronologically, our first quarter represents less than 20% of our full year earnings, so our optimism is tempered. 
 To summarize, the business units remain focused on the task at hand. In particular, the Ag team is driving sales growth in their high-margin end markets and making significant progress integrating the 3 businesses. MacDermid continues to focus on providing high-quality technical service and innovating value-added products to support customers' needs. From a corporate standpoint, we remain focused on the different paths, realizing significant accretion to our intrinsic value per share. The acquisition pipeline is robust, and the capital markets are friendly. I look forward to updating all of you on our progress in future calls. 
 With that, we'll take your questions. Operator? 
Operator: [Operator Instructions] Our first question comes from Duffy Fischer with Barclays. 
Duffy Fischer: A question on the Ag side. I was wondering if you could just run us through the main geographies and just talk a little bit about what you're seeing volume-wise for sales so far this year because it sounds like things are running ahead of plan. 
Wayne Hewett: Yes. And I'll go through it relatively quickly. As I said earlier, we -- from a European perspective, we clearly saw things off to a much better start than we anticipated, primarily due to the early spring. And I think as you know, last year was also an early spring in Europe, so it was actually a pleasant surprise to us that this year was also an early start. So we feel pretty good there. Africa, for us, remained solid. Latin America, I think it's more varied, to be honest. I think that there are some parts of the market that we clearly see a lot of inventory in the channel. There's some parts of the market that we actually see a recovery from a drought there. But I think overall, it's just more mixed. And I think in North America, to be honest, it's too early, and the season is just getting started. So it's really too early to really make any meaningful comments on North America. 
Duffy Fischer: Okay. And then you mentioned channel inventories. How much visibility do you have kind of into your own products downstream in the channel? Are your inventories in better condition than inventories in general? Or how would you characterize that? 
Wayne Hewett: Yes, it's a -- I'll tell you how we think of it, because I think it's always more important to focus on what we're doing as opposed to trying to make a comparative -- comparison to others. We've been on a conscious effort over a couple of years now to actually reduce the amount of inventory in the channel. And we started that program a couple of years ago. We continued that program at the end of 2014. So as a result of that, I think in broad strokes we would say that we're making progress to have, on a relative basis, a little less inventory in the channel. So we think that when inventories actually decline that we should be able to see a little bit of an uptick a little sooner. 
Duffy Fischer: Okay. And then the last one for me, Frank, when you look at some of the puts and takes that are a little different that we've seen so far, the earlier Europe, is any of that going to affect the timing of cash flows this year? 
Frank Monteiro: So as of right now, based on what we've seen and what we had originally anticipated, we don't -- we do not see it changing our original guidance where quarter 2, or late quarter 2 going into quarter 3 would be an inflow. 
Operator: Our next question comes from Jon Tanwanteng with CJS Securities. 
Jonathan Tanwanteng: Wayne, have you been able to quantify what some of the potential sales and product synergies might look like now that you have all the acquisitions under the same roof? 
Wayne Hewett: Yes, it's funny because as you know, Jon, in our $80 million of synergies, we have 0 top line synergies as part of the $80 million. So any kind of top line that's obviously out there will be upside to the $80 million. Given the fact we're so laser-focused on the $80 million, we've not spent a lot of time trying to quantify the top line savings. But again, the short answer is that in the $80 million, there is 0. We clearly know there will be additional stuff coming, but it's been a secondary focus for us. 
Jonathan Tanwanteng: Okay. And then just on the MacDermid side, can you talk about what you're seeing there in terms of the strength in electronics, what you're seeing heading into Q2? 
Frank Monteiro: So heading into Q2, I mean, if you look at who our end market customers were and so forth, quarter 1 was really good coming out of Chinese New Year. We saw Samsung do their builds and some of the normal Chinese customers and so forth pick up business as well. As you head into April, you always have the build that happened into March, so it steals a little there. But as May and June unfold, we believe it will continue, specifically with the new installations that we did in late last year that you'll start to see revenue from that going forward. 
Jonathan Tanwanteng: Okay, great. And then Dan, would you mind commenting just on some of the insider selling we saw over the last week or so? 
Daniel Leever: Yes. You'll note that I sold some shares, and I like to say that you can't build a house with stock certificates. And I rolled overall off of my -- 100% of my stock in 2006. I rolled over 100% of my stock again in 2013. And my wife wants a house, so I told her I'd sell some stock to buy her a house. It's really that simple. No diversification or anything like that. Just it's a big house, that's all. 
Operator: Our next question comes from John Roberts with UBS. 
John Roberts: On Slide 7 where you show the LTM free cash flow at $0.53 a share, do you have a pro forma estimate for that? 
Frank Monteiro: No, we can work that up, and I can get you that offline. 
John Roberts: Okay. And then would you see any overlaps between Monsanto and Syngenta that would be interest of -- to Platform? Or are you so overweighted in Ag already that it's not an area of focus? 
Wayne Hewett: Yes, I'll take it, and Dan can add to some questions. I think as we've said before, right now, our focus is on running the business and executing against the synergies. And quite honestly, our view relative to digging into more into the Ag space, it would have to be a super, super sweet deal for us and the numbers would just have to scream for us. That said, one of the things from an Ag perspective that we've always noticed is that to the extent that there are industry consolidations that sometimes products become loose, and if something was there and that was available, obviously, we'd take a run at it. But again, our priority is to focus on running the business, and it would have to be a screamer of a deal before we would say we're very excited about it, on the Ag side. 
Operator: Our next question comes from John McNulty with Crédit Suisse. 
John McNulty: So when I look at Ag, I mean, you've got -- you had some really -- especially on a constant-currency basis, you had some really solid growth. So I guess maybe thinking about the buckets of where that growth came from, maybe can you give us a little bit of color on the price mix and volume trends that you saw and how they break out? 
Wayne Hewett: Yes. Yes, we don't release the price mix data and so -- but I'll just give you more in broad strokes. We clearly, clearly saw an increase in the GP percent because we actually saw a much more favorable mix, is how we would describe it. And that's really led by the fact that our -- what we call our global value-added products that we've talked about, our GVAP, grew significantly faster than the rest of the portfolio. So -- we clearly are getting price in local terms. As we said before, we're increasing price locally to offset the impact of FX. But the bigger story for us was the fact that we had a significant mix uptick because of the strength of our global value-added product portfolio. 
John McNulty: Okay, great. No, that's helpful. And then with regard to the performance business, you're hitting record margins. You've actually been kind of doing that recently for a little bit. I guess, what's driving that? Is it mix or is it just increased profitability just because of the volumes going through? I guess how should we be thinking about what's really kind of driving that -- those margin levels and if they're sustainable as we kind of look forward for a few more quarters? 
Daniel Leever: I mean, the margins are getting remarkable, I could tell you that. It's -- if you asked me 5 years ago if it was even possible to get these margins, I would have said no. But having said that, they really seem sustainable, and I think the specific answer to your question is it's mix. We really have been successful and, I would say, clearly won the race, if you will, to the highest technology in the mobile devices side of electronics. And so that's a very demanding technology that is a very attractive business. That's really a big driver of what's happening, I would say, and the mix continues to shift in that business. And then offshore, believe it or not, continues to be strong, and that creates a favorable mix scenario, too. So I don't know how much upside there is from here, to be honest with you, but we don't see a whole lot of downside either. 
John McNulty: Okay, fair enough. And then maybe one last question, just with regard to FX headwinds, and I know they've been fierce, and it's always tough to maybe time these things, but when you look at your overall capital structure, is there any thought to moving even more debt offshore or overseas so that we can actually -- you have maybe a little bit more of a natural hedge against some of the FX headwinds? 
Frank Monteiro: The single answer to that is yes. We spend a lot of time thinking about how to mitigate currency headwinds. And putting debt in foreign currencies is certainly one of them that we've been exploring. There are favorable rate opportunities where the arbitrage is actually favorable to us, it will reduce interest if we do so. And so we are exporting those readily and plan to do so. 
Operator: Our next question comes from Lauren Gallagher with Crédit Suisse. 
Lauren Gallagher: Just following up on the FX question, you mentioned that you'd started to instate some hedging policies. I'm just curious, after kind of looking at the various alternatives, how much would you say of your FX is currently hedged? 
Frank Monteiro: So we have local factoring policies in place. We have some barter agreements in place that mitigate FX associated with working capital. That is predominantly in Brazil, but we have that in Europe as well. Then we have about 20% of our debt currently denominated in euros. We are beginning to build out the operational hedging policy, or program that Arysta had in place. I don't know if we can quantify a precise percentage, so we can take it offline if you want to go through it currency by currency. But it's been an increasing area of focus for us, and it's something that we're going to be doing increasingly where appropriate. As I just addressed John's question, one thing that we're certainly going to be doing is placing debt in other foreign currencies where there's a favorable rate arbitrage to match our cash flow exposures. 
Lauren Gallagher: And then just following up, you'd still say that around $80 million is the synergy target? 
Frank Monteiro: Correct. 
Operator: Our next question comes from Aleksey Yefremov with Nomura Securities. 
Aleksey Yefremov: Dan, I just wanted to follow up on your comments regarding exploring new verticals. Did you find any new verticals interesting? And perhaps could we see sort of an updated slide on the platforms that you're looking at? 
Daniel Leever: We haven't gotten that far, to be honest with you. We are looking at a couple of areas that I would say in the early stages are interesting, but we're not far enough along to put them on the chart yet, I wouldn't say. We still have more work to do. But there are clearly areas that are not on the puzzle chart that we think could be additive to the puzzle chart. And I would say we'll take a little bit of time to do further work in that to be really confident that they belong. 
Aleksey Yefremov: And a follow-up for Wayne. On GVAP products that really benefited this quarter, could you give us a sense of what drove that outperformance? Was it market share gains? Or were your end markets growing faster? Or -- and then how -- do you expect this improved mix to persist for the rest of the year and into 2016? 
Wayne Hewett: Yes. I think the short answer is it's really been a little bit of all those things that you just talked about. As we highlighted, our global value-added products year-over-year in terms of in actual currencies were actually flat. Just given the impact of currency, you can run the math. And it feels like it was actually superstrong, so it's hard to say when the pickup's the market share on those particular products, which is very, very helpful. In terms of the mix impact, we're not changing our total year outlook from a standpoint of EBITDA, in terms of x synergies, x currencies. That said, I think that we'd be a little bit disappointed if we don't see a little bit more favorability in the mix play through for the total year. 
Daniel Leever: I think that -- this is Dan. I would add to the -- to Wayne's comments that whereas we're not spending a lot of time trying to quantify the top line synergies from this deal, nevertheless, there are sales and marketing teams all around the world driving the combined product lines of these companies for success. And what you're going to see over time is unquestionably it's a move towards the higher value-added products because that's where the emphasis is. So I think you're seeing some of that now, and you'll see some of that for a long time to come. 
Operator: [Operator Instructions] Our next question comes from Owen Douglas with Baird. 
Owen Douglas: Just a couple of quick ones. I wanted to sort of dig into a little bit the deal-related acquisition costs for the quarter. I don't believe it was spelled out in the press release this time. 
Frank Monteiro: So if you look at -- in the free cash flow per share slide, you'll see that acquisition-related expenses in the quarter were $29 million. And that was predominantly legal, accounting, follow-up stuff as it relates to registration statements and so forth. We also had, on the cash flow statement, there was an outflow of cash that associated with deal-related and retention payments that needed to be made. But specifically, as it relates to the acquisition costs themselves, we do have them broken out on that sheet, and we'll continue to break them out on there as well. 
Owen Douglas: Okay, that's great. And also, in -- earlier, you mentioned that in the Ag business, the higher-value margin products, those ones you're able to keep the revenue line flat, even accounting for the 20% FX headwind. Can you give us a sense for how that portfolio looks now? What proportion is these higher value-added products versus the other parts of the Ag business? 
Wayne Hewett: Yes. What I'd prefer to do is maybe just take it to the follow-up because one of the things that we are working on is that we just went through and as a result of the integrated company, actually came up with a slightly different definition. And when I say different definition, we wanted to make sure that we included products from both the Agriphar -- legacy Agriphar and legacy Chemtura as well as legacy Arysta. So the numbers that I have in mind may have changed slightly. But we will -- it's obviously still significant, but we'll take a follow-up action to make sure we send you the precise numbers in terms of exactly what percent of our revenues and GP are comprised now by the new definition of our GVAP products. 
Owen Douglas: Okay, that's fine, and I will follow up after. But if I could, also one last one on the Performance Materials business. As we kind of think about that legacy Graphic Solutions versus Performance Materials, can you give us a sense for whether or not the Graphic Solutions business comps positive year-over-year from a revenue perspective? 
Frank Monteiro: From a revenue perspective, year-over-year, we did see some continued softness in the Coating Plates business. But that was more than offset by revenue in our Packaging business, which is, of course, dominated by our LUX offering and our solid sheet processes. 
Owen Douglas: Got you. And the margins, did that hold up as well? 
Frank Monteiro: Yes, they did hold up. The packaging side of the business is much more profitable from a margin standpoint than the old legacy coating plates. 
Operator: [Operator Instructions] There are no further questions. Ladies and gentlemen, that does conclude today's Q&A session and today's conference call. You may all disconnect, and everyone, have a great day.